Operator: Greetings and welcome to the Kulicke & Soffa 2017 Fourth Fiscal Quarter and Full-Year Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joseph Elgindy, Director of Investor Relations and Strategic Initiatives for Kulicke & Soffa. Joseph, you may begin.
Joseph Elgindy: Thank you, Rob. Welcome everyone to Kulicke & Soffa's fourth quarter fiscal 2017 conference call. Joining us on the call today is Fusen Chen, our President and Chief Executive Officer; and Jonathan Chou, our Executive Vice President and Chief Financial Officer. For those of you who have not received a copy of today's results, the release as well as the latest investor presentation are both available in the Investor Relations section of our website at investor.kns.com. In addition to historical statements, today's remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial condition, please refer to our recent SEC filings, specifically the 10-K for the year ended October 1, 2016. I would now like to turn the call over to Fusen Chen for the business overview. Please go ahead, Fusen.
Fusen Chen: Thanks, Joe. We have completed our fiscal year by generating $809 million in revenue, $112 million in net income, and $1.55 of earnings per share. During the September quarter, we surpassed our guidance range by delivering $215.9 million of revenue, $36.6 million of net income, and $0.51 of diluted EPS, significantly better length conferences. Before discussing the quarterly performance, I would like to take a few minutes to summarize some of our broader accomplishments and also some of organizational and technical improvements intended to enhance our value creation process and further enable ongoing growth. From an organizational standpoint, we have repositioned our R&D and the sales organization to drive responsibility, responsiveness, accountability and to better enable our longer term objectives. Early in the year, certainly after I joined, we restructured our sales organization and moved P&L responsibility of our Expendable Tool, Service, and the Spare Part business under the Aftermarket Products and Support segment. A new business unit, these Aftermarket Product and Support segment APS combines our Spares and the Service business and our Expendable Tools segment. This recurring revenue business was previously not a corporate focus area. And there is new structures there will be [indiscernible] issue. Our goal over the coming three years is to increase our APS revenue from 20% to 30%. Leveraging our equipment position and the increase in this revenue stream is important to further enhancing our through-cycle performance. The other organizational change, which went into [press] during the September quarters was to decentralize our global R&D group and shift ownership of the majority of this global team to our respective business unit. We continue to maintain a centralized R&D group, which support more common confidences such as Servo and the Electrical system. This centralized team also assist in seeking out and examining the fit of emerging organic and inorganic opportunities. Ultimately, this certain organizational change creates a more responsive in the business-centric with a clear line of responsibility and accountability. More technically from a business execution standpoint, we closed on Liteq, a strategic and highly complementary acquisitions, and also closed and initiated a new share repurchase program and continued to optimize our core business by maximizing opportunities such as LED. I am very confident this improvement better enables us to assess in our new and upcoming initiatives. Turning back to the September quarter, our better length expected performance was diversified and [stumped] from our Ball, Wedge, and the Wafer-Level packaging offerings. Our bonding equipment increased 37% from the same period last year and it was supported by strong semiconductor unit growth and also increased demand for our System-in-Package and NAND flash solutions. Wedge bonding equipment had also improved dramatically and it was up 105% over the same period last year. This trend was widespread and diversified across a broad base of automotive, industrial, and the power semiconductor customers. Through our fiscal 2017, we estimate 25% to 30% of our revenue stem from exposure to advance packaging opportunities, including System-in-Package, including NAND flash memory, including CMOS and 3D sensing as well as our other dedicated advanced packaging portfolio. Finally, revenue of our APS business had increased by 10.6% over the same period in the prior year and increased 13.6% for the full-year. Wire healthy utilization rate drive consumable demand. This increase is also due to share gain in our capital LED business. We continue to prioritize our focus to drive and enhance our recurring revenue base business and we will share our progress as we move forward. I would now like to turn the call over to Jonathan Chou, who will cover this quarter's financial overview in greater detail. Jonathan?
Jonathan Chou: Thank you, Fusen. For the September quarter results, net revenue was $215.9 million. Strong gross margin of 48.5% drove $104.7 million of gross profit. These strong gross margins were unique to the September quarter and due largely to product mix. Looking ahead into 2018, we are targeting new revenue opportunities and adjusting our quarterly gross margin targets to slightly below 45% for aggressive market share gain in LED. This better positions us to maximize revenue exposure and also operating leverage. During the quarter, we generated $36.9 million of operating income, $36.6 million of net income, and $0.51 of EPS. We are very pleased to deliver these higher levels of profitability supported by a strong operational execution. Our effective tax rate during the quarter came in at 5.8% benefiting from our long-term planning process. We can expect our long-term effective tax rate to be around 15%. This is a 300 basis point reduction from our earlier guidance of 18%. Turning to the balance sheet. We continued to strengthen our financial position with a total cash and investments positioned of $608.9 million or $8.45 on a per share basis, up $15 million sequentially at the end of the September quarter. On a book value per share basis, we ended the September quarter with $12.67. Working capital defined as accounts receivable plus inventory less accounts payable, increased by $15.8 million to $269.1 million. From a DSO perspective, our day's sales outstanding increased from 79 days to 83 days. Our days sales of inventory increased from 86 days to 99 days and days of accounts payable decreased from 59 days to 42 days. While the organizational change in R&D and sales are enablers to our success. Investments and developments are necessary to drive execution with new opportunities. As a result, we are anticipating our fiscal year 2018 quarterly fixed expense to come in at $53 million plus 5% to 7% of variable expense tied to revenue. The fixed cost increase is overwhelmingly related to additional development initiatives and prototyping expenses related to our new lithography platform and also several other growth initiatives. Before concluding, I would like to provide some color on our share repurchase program. On August 14, 2017 we completed our initial $100 million share repurchase program and subsequently our Board of Director also approved a new $100 million share repurchase program. During the September quarter, we purchased approximately 935,000 outstanding shares at a value of $18 million. We will continue to repurchase shares in the open market with available resources whenever we trade at a significant discount to our intrinsic valuation. This concludes the financial review portion of our call. I will now turn the discussion back over to Fusen for the December quarter's business outlook.
Fusen Chen: Thanks, Jonathan. Looking into December quarter, we are targeting revenue to come in between $185 million and $195 million. From our historic perspective, this is a very strong outlook and represents a 27% increase over the same quarter last year and a 56% increase over the average of our previous three December quarters. While overall industry strength is positive, more fundamental driver such as the execution of new business initiatives, the ongoing strength of our core solutions and the renewed focus in enhancing all recurring revenue business are expected to support ongoing value creations. Looking ahead, we have no shortage of new opportunity in the progress, with the recent Liteq continues. Our team in Eindhoven is currently in the process of selecting the first customers to begin qualifications. In addition, our recent organizational improvements and our willingness to engage in strategic partnership increased our opportunities and the potential for success. Additionally, outside of all various new growth prospects, recent expectation for continued industry expansion further increase our confidence in delivering meaningful value within our core business. Looking ahead, from calendar year 2018 through 2021, current expectations support a very positive 8.9% compound annual growth rate for semiconductor unit productions. As a reference, the same growth rate over the prior completed four years period was at the very modest 3.4% growth rate. In addition, applications such as a sensor, LED and the NAND memory where we have highly completive products are anticipated to further exceed this strong market year growth forecast. I'm also confident that our recent organizational improvements will better enable our ability to maximize these opportunities. We thank you for your continued support and the entire organization remains extremely committed to ask you our strategy and delivery value to our shareholders. This concludes our prepared remarks. Operator, we will now be happy to take questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Thomas Diffely: Yes, good morning or good afternoon. So, I guess first on the fixed cost structure, did you mentioned Jonathan, you said $53 million plus the 5% to 7%? Is that about $5 million above was previously for some of these new programs?
Jonathan Chou: Well, on the total year basis about $19 million actually for the full-year and let me to give you a little color, about three quarters 75% of that $19 million is related to the Liteq investment and rests are actually other initiatives.
Thomas Diffely: Okay. So that $19 million for the years of call it $4 million, $5 million per quarter?
Jonathan Chou: Yes.
Thomas Diffely: Okay, all right. And then you talked a little bit about the margins coming down a bit over the next year as you get more aggressive? Is that just based on getting aggressive in lower margin segments or is that getting more aggressive across the board with pricing?
Jonathan Chou: Yes, I think we always aim to basically aim for the average and we've been the 45%, but there will be opportunities where we actually going to take market share that my actually bring that down a little bit, but we certainly are aiming to maintain that 45% average.
Thomas Diffely: Okay. So, this is on margin dollars as opposed to margin percentage?
Fusen Chen: Yes. Tom, I will give you a little bit more color. I think we are particularly more aggressive in LED segment for this year and that we believe we gain the market shares and this gross margin is a recoverable. Give you a little bit color, last year I think LED is above 10% of our total ball bonder and this year we choice to double it. So as a result, we will take a little bit gross margin hit, but we delivery we can recover that in the longer-term.
Thomas Diffely: Okay. Is there higher gross market in some of your other spaces or just an incremental growth for you?
Fusen Chen: This is incremental gross for us.
Thomas Diffely: Okay. And then when we look at the other really strong year-over-year performance above for the reported quarter and also the guided quarter? As your sense that we still have the same seasonal patterns just we have a higher level of core business or you see a shift in the seasonal patterns as well?
Fusen Chen: Well, I think all products is more diversify across different industry right. I see in the auto also in the IoT and in many our industry. So, I think this helps and I would not say we no longer have seasonality, but I believe is paper a bit and hopefully as the industry expand, we will see less seasonality, but I think seasonality is still there - but probably not as pronounced as before.
Thomas Diffely: Okay. And then finally, when you look at the auto and the 3D NAND or the NAND market, obviously there has been very good markets for you over the last year. So how do you view those going forward? Are those nice growth markets? Are they just large markets that we continue to do well?
Fusen Chen: As you know we will continue to do well. Auto, there is a lot of function is going to impact the growth of auto. Autonomous and driver assist program. I think they are many area in auto storage, power storage allows it was a lot and what are the areas?
Thomas Diffely: 3D NAND, I think as specific…?
Fusen Chen: 3D NAND we are confident, I think 3D NAND will continue to grow. Okay actually China and the memory actually is still a very bright spot at this moment for us.
Thomas Diffely: Great, okay. Thanks for your time.
Fusen Chen: Okay. Thank you.
Jonathan Chou: Thank you.
Operator: Our next question is from the line of Krish Sankar with Bank of America Merrill Lynch. Please proceed with your question.
Krish Sankar: Hi, thanks for taking my question and congratulations on such great results Fusen and Jonathan. I've had a couple of quick questions. One is, can you just tell us what percentage of your sales is from memory? I think in the past, it's been around 25% to 30%. Is that still what it was in September and expected to be in December?
Jonathan Chou: Yes, it's about 25% in terms of exposure to memory. In fact, the 26% specifically to NAND or for the ball bonder side.
Krish Sankar: Gotcha. And is there a way to quantify what is driving this trend in the December quarter? Clearly, you guys are doing a great job. At the same time, it looks like better than seasonal just kind of trying to find out, which is the biggest trend for December?
Fusen Chen: We see - actually which bonder is pretty strong for us and I think it has come from general automotive device and also automotive power storage and also industrial power control is our contribution to our wedge bonder. And ball bonder, I think is also doing well, since come from a LED memory and also our wire bonder Sip and also high deterioration rate of industrial helps as well. And one of the strengths in our AP for this quarter is for of wafer level packaging. I think applications in MEMS and the CMOS application actually very, very strong, that helps this quarter a lot.
Krish Sankar: Got it, that's very helpful. And then two other questions, one is, if I do the math on your wedge bonder sales, it looks like in September quarter was probably a record high, based on the history that looks like an all-time high for the company, a) is that true, if so, congrats and how much of that is from auto?
Fusen Chen: I think actually a lot from the auto, particularly from EV…
Jonathan Chou: Yes, I don't have the - clearly the trend is that - if you look at year-on-year wedge bonder have actually increase 105% basically and it pushing to new market like EV, like transformers and industrial industry. So, I think we are continued to basically, so just to point out that in terms of the high, the highest five-year period.
Fusen Chen: Yes, and also Krish, originally, we see the strengths of - in a battery of our wedge bonder come from U.S. and right now our China market is very strong at this moment.
Krish Sankar: Got it, that's very helpful. And then two last questions, one is, did you guys see how much was LED as a percentage of ball bonder revenue?
Fusen Chen: Well, we took in about unit count. Unit count, I think last year 2017 we'll finish about 10% and this year 2018 we intend to increase.
Jonathan Chou: For this past quarters, it is slightly less than 5%.
Fusen Chen: Yes.
Krish Sankar: Gotcha.
Fusen Chen: In terms of overall 2018, we intended to achieve in recent market shares in LED.
Krish Sankar: Got it, very helpful. And then the last question I had was in terms of the Liteq acquisition, I think in the last you guys said that you're probably there is a data tool in qualification for the redistribution layer and it might take probably another year or so. Is that still the timeframe and how many systems are we shipped so far?
Fusen Chen: Actually, we are just ready to select in the first customers and not a discussion actually in the euro. So, we just have a discussion and we intend probably ship the first system in January 2018.
Krish Sankar: Got it. All right, congratulations folks. Thank you very much.
Fusen Chen: Okay, thank you.
Operator: The next question is from the line of David Duley with Steelhead Securities. Please proceed with your questions.
David Duley: Yes. Thanks for taking my questions. Just a clarification to start, you mentioned that the core wire bonder business I think up 37% year-over-year in the September quarter, could you tell us what that business was up on an annual basis for fiscal year 2017?
Fusen Chen: We will find the number.
David Duley: And then as a follow-up to that. I was just kind of curious why - what the main reasons you think that your core wire bonder business is growing so much faster than IC unit volumes and should we expect that to continue?
Fusen Chen: So maybe I can give you an example. For example, IoT devices, we see the number, the compound annual growth rate for IoT is about 33%, so this is very fast, and this is not very high technology note. It's a small form factor, is a connectivity driven industry like [healthcare], in our retail, in many, many industry and does not require big advanced technology. And that's mainly is ball bonder, so this compound annual growth rate of 33% actually is very fast. So, we calculate roughly in next say seven years, just IoT only will contribute to our ball bonder couple of hundred million dollars, $200 million, $300 million. So just want to let, there are many, many device not necessarily need to be very advance, of course, our ball bonder participate in very advance in our product like 3D NAND, like bonder SiP, but still many, many, many product coming out from China, they don't require very advanced technology and the growth rate has been phenomenon like 30%.
Jonathan Chou: Yes. David, this is Jonathan. The year-on-year growth for the ball bonder is 44%.
David Duley: Okay. And I guess what I'm getting at is you kind of gave us a unit volume growth rate going forward of what 8.9% which is as you pointed out much higher than the unit volume growth rate over the last five years. And I'm just kind of curious is should we expect your core wire bonder business to grow more rapidly than the IC unit volume growth rate?
Fusen Chen: David, we really don't have answer for you, but actually we expect to grow faster LED industry, that's only our goal.
David Duley: Okay. Could you talk about any updates that you can on your thermo-compression bonder business and the advanced packaging business in particular. There's lots of - you have a lot more people making investments going forward in Fan-Out and you've got some other folks talking more about connecting die-to-die and died wafers and whatnot and I am just wondering you're seeing an increase in this business and what the outlook is in 2018?
Fusen Chen: Well, so we have - putting it in this way, I think we have a 25% to 30% of our revenue as we attribute to advanced packaging and 40% - so at least about $200 million to $240 million in our calculation with revenue of $810, so 40% of cost are dedicated in advanced packaging is including our APAMA, this is including - this two TCB, C2S and C2W and also one of die attachment right. And so, 40% is above $100 million. Two TCB, one [Liteq] and also one wafer label packaging to what we call AT Premier and then we have hybrid SiP. So, this year, I think we do above 40% or close to $100 million. We expect probably next year still in this label and we really don't see our TCB will increase very significantly in the next couple of years. I think the volume is still low compared to our high volume products like ball bonder in wedge bonder is very small. But I think overall, we expect our 2019 probably will grow to a little bit bigger base for us.
David Duley: Okay. And then final question for me just on lithography. Where do you plan to position your tool in the food chain, maybe just explain what sort of applications that you're going after and what type of customers you are looking to put in valuation systems? And are you going to focus on OSATs or ITMs or foundries, just a little bit of help on who you're focusing in on? Thank you.
Fusen Chen: I think at this moment, we're working with OSAT customers. And critical layer, we call redistribution layer, right. So that will be the focus. When the industry need a better resolution to define a critical dimension, actually below three microns, I think they need to use INI. And our lens design are very unique. We use a laser based compared to common competitor they use mercury-vapor source, and we believe we have much better productivity and much better on closer [ownership] as well as the throughput.
David Duley: Okay. Thank you.
Fusen Chen: Hopefully, I think - yes, so I don't think we will grow geometrically in few months, but in long-term, I think we are very positive. We believe this is a quite differentiator for us.
Operator: Our next question comes from the line of Craig Ellis with B. Riley. Please proceed with your questions.
Craig Ellis: Yes, thanks for taking the question and congratulations on the good execution guys. Fusen, I wanted to start with a higher level question that was less about modeling and more about your view of fiscal 2018. So, on the one-year anniversary of your first call with Kulicke, it's been a very successful year, so congratulations on that.
Fusen Chen: Thank you.
Craig Ellis: As you look ahead to fiscal 2018, a year-ago you listed strategic priorities, if you were to do the same thing now, what would be on that top three or four list of things you would like the business to accomplish over the next year?
Fusen Chen: Okay. So firstly, I think I remember I mentioned ball bonder actually is very important for us. We have very good market share at the high end and a little bit low end, actually LED we did not do well, but this is a big market. Since we have a big market share, I think it will be good to get in LED with slightly low margin. And last year, remember and I'm confident, once we get a market share, we can get a gross margin right. So, I think not actually as being very successful. This year we plan to sell 2X as much of LED bonder compared to previous year. So that was I would say it's right move and we also focus in our core competency in ball bonder, like looking development and a lot of process development. So, I think all ball bonder is stronger than ever and that makes me feel very good today. We also put an effort trying to grow the market share in wedge bonder, I think we did very well. So, at this moment, I think our ball bonder is number one and wedge bonder is number one. And last year we start to focus in spares, consumable, uplift, refurbish and service, but not in a systematic way. And we already see some success. And this year we formally put a program, and we believe I think this segment we can grow $80 million, $100 million in three years, so that will be the focus this year. We also look at future technology, which can be emerging in this industry, so we have a few programs ongoing, we believe will contribute to our growth in next one-year. So, the key is, we will not give up continue looking for the growth opportunity and that has become all heavier than DNA.
Craig Ellis: That's very helpful. Thank you. The next question I have is for Jonathan. So, Jonathan, with regard to the gross margin guidance and it's understandable, I think strategically what's driving the parameters that you talked about with potential for 44% gross margin. My question is really regarding the timing with which we might see that is as you look ahead through the years there are particular point in time when you would expect LED mix, especially low-end LED mix to significantly increase that starting in the fiscal first quarter or does that actually happen later in your fiscal 2Q or fiscal 3Q?
Jonathan Chou: Well, I think it is actually in the price sensitive space that we're talking about - our gross margin, it depends on product mix. We still actually have very good pricing power for the higher margin product offerings that we have. So, when we actually have to compete in the price sensitive markets that Fusen has actually alluded in the past, we have a fairly structured and an aggressive cost down targets that we are planning to introduce throughout the year. And will continue - as continues kind of cost down effort initially in the more rolling cost or more price sensitive space. We are going to look at actually even higher margin products that we have to continue with that. So, I think we have a fairly good confidence level in terms of continued to cost down across different platforms that we have. So well as I said earlier, we are still continuing to target that 45% average that we had achieved in the past number of years, but given the fact that we are in the process of costing down to compete in the LED space, it might actually slip below 45%. We certainly are doing, everything we can to keep it above.
Fusen Chen: Yes, so Craig, let me put this way. I think at this moment when we look at the LED market, there are more market share we can get then we needed. So, as you know we have a choosing power to decide how much LED we want to get in. We decided to get more. I think we can get more. But we want to make sure we balance the gross margin and total revenue and also as gross margin dollars, and we are also very confident. This is not like a market share once you lost. It's difficult to get back. I think you can get the market shares and gross margin in few months we can always do is right.
Craig Ellis: That's real helpful color. And then the third question that I have is somewhat similar that it relates to operating expense. Very clear guidance on a fiscal year basis, Jonathan, the question is should we think of that guidance really being applicable to the fiscal first quarter where investment spending is up $4 million to $5 million a quarter or does the business grow into that through the year, so that we may have an impact in the first fiscal quarter that would be much smaller than that that maybe by the time we end the year larger. Just some color on the linearity of the businesses move into that prop would be helpful? Thanks guys.
Jonathan Chou: I think our OpEx is - as I said earlier, we estimated about $90 million increase in terms of OpEx. I think it is what we expect at this point in time, obviously we grow the topline percentage right. So, I think this is what we are estimating in terms of the cost is required to get us to those growth initiatives.
Craig Ellis: All right. Good luck with it guys. Thank you.
Jonathan Chou: Thanks.
Operator: Our next question is from the line of Manas Tiwari with Value Investment Principals. Please go ahead with your questions.
Manas Tiwari: Hi. Thanks for taking my question and congratulations on very strong set of results. My question is regarding the industry wide CapEx cycle in the semiconductor industry. So, we had some positive commentary from Samsung Electronics that it raised its CapEx for the fourth - it's going to raise its CapEx for the fourth quarter 2017. So, what is our view on the CapEx cycle going forward? Do you expect other players to follow Samsung and digital CapEx?
Fusen Chen: Actually, I think Samsung of course is a very successful at this moment and they have a big CapEx spread. We also share our view prior they also increased their CapEx. So that's our view I think on CapEx this year. The Gartner forecast for semiconductor unit growth this year is greater than 7%. So, you need to have a certain investment to support minimum 7% of semiconductor unit growth. So, I will assume the CapEx will be okay this year.
Manas Tiwari: Okay. And regarding the assembly owned business, should we expect any write-down or goodwill reduction going forward?
Fusen Chen: No actually what the reason we took impairment was due to 2016, our customer is above enough capacity, so 2017 is a capacity digestion periods and we look at the forecast, we decide to took implement. But at this moment, I think the business Assembléon track as we expected. We are very happy with Assembléon performance at this moment.
Manas Tiwari: Okay, that's it for me. Thank you very much.
Fusen Chen: Thank you.
Operator: Thank you. The next question is from the line of Greg Eisner with Singular Research. Please proceed with your questions.
Greg Eisner: Thank you and thanks for taking my questions. Regarding the gross profit margin, should we expect the same kind of potential downward pressure on the gross margin percentage that you are describing to carryforward into the subsequent fiscal years after FY 2018 or should this be a one-year phenomenon that will snap back decidedly above 45% starting in FY 2019?
Jonathan Chou: Greg, this is Jonathan. We are constantly focused on hitting that 45% higher and as I mentioned the earlier question part, we do have a fairly rigid cost down program, which we will continue to actually see if we can expand that margin. As we compete in more high sensitive market, we do that across all the platform to protect our margin percentage.
Fusen Chen: So, Greg, let me put it this way. I think the company clearly, we have a multiple gross initiative. So, at this moment, LED is one of them. So, if we are very aggressive to go for high volume, LED market share increase then we probably will jeopardize more what decrease more, a little more in gross margin. But not necessarily we need to do that. We have multiple choice, so let's our status I think at a certain point, we might decide to take other business in the production other than LED. But even LED in short-term or impact gross margin, we are very confident, this gross margin is a recoverable. We can always get it back.
Greg Eisner: Got it, changing the subject, could you talk about the utilization rate for the quarter? I think you described it in pass quarters and I think we discussed to get?
Fusen Chen: Yes, we believe that utilization rate is actually pretty healthy right now in terms of the 80% plus and that's why we're going to announce for our equipment.
Greg Eisner: Okay, that makes sense. And I guess that ties into I guess a question of trying to estimate the replacement market versus the growth side of the market this quarter and next year, it sounds like 80% plus utilization. You're seeing an increasing percentage of demand really coming from the growth side as opposed to replacing old equipment. With that - would that be correct?
Jonathan Chou: Yes, we have said in the past that anything above 80%, most of our customers will have to start looking at new capacities. So, based on what we are seeing from here, it supports that.
Fusen Chen: So, I think we did rough calculation, the replacement opportunity yearly is a wrong nice all in system. The capacity is above three all in system. So roughly I think available market for us is about kept solvents a year. The total unit for ball bonder, you take a 65% of - so largely I think nice solvent system, probably is a normal number for us in terms of revenue.
Greg Eisner: Got it. If I could turn to the advanced packaging components of your revenue, I think last quarter you said it was 10.9% of the revenue as a contribution to revenue. Did you say was 25% to 30% this quarter.
Fusen Chen: Okay. So, let me be more feel for to describe. I think we have advanced packaging from - advanced packaging portfolio and lies around 10%, right. So, I think it's consistent. And this including two of our TCB, one of die attachment and also including our wafer label packaging and also including our hybrid SiP. So, this is 10%. And the reason that we are up to 25% to 30% was because we believe our advanced ball bonder itself in the advanced product in a memory and also in the SiP. They are very technical, in our content very, very strong. So, we also attribute as high-end products, so we also call out advanced packaging. So that is also as big as our dedicated advanced packaging portfolio. So, I think you are right. If we are only talking both dedicated advanced packaging portfolio is above 10%.
Greg Eisner: Got it. What you are describing is product line that it's - not probably dedicated product line, but the end users advanced enough that you - the customers' end use really is an advanced product then requires sort of…
Fusen Chen: Got it, yes, at least with [indiscernible] is about 25% to 30%.
Greg Eisner: Understood. Okay, I'll let someone else go. Thank you very much.
Operator: Thank you. Your next question is from the line of Albert Sebastian with Prospect Advisors. Please proceed with your questions.
Albert Sebastian: Good day, gentlemen, and congratulations on the results. A couple questions, first on the share repurchase. Jonathan, in the past your share repurchase has been constrained by your ability or your financial position with regards to the cash that held overseas versus in the United States. So, can you just give us a little bit of background or in terms of I guess what held in the United States the cash and what's outside and going forward how do you see that changing and is that going to be a constraint on your ability to purchase shares?
Jonathan Chou: Well, I think at this point in time we're about 10% of our total cash in the U.S. that results in the U.S. and we also have a credit line of facility that's available as well. So, there could be a constraints in the future, but we're continuing to actually do some planning and also, we are anticipating the tax reforms and actually it will impact in terms of repatriation of cash overseas, so we are mindful of that and we continue to plan ahead as things develops.
Albert Sebastian: Okay. And Fusen just with regards to the potential to pay a dividend, historically the company has not paid dividends. Is that something you could see change in given the different mix of your businesses in terms of having more stable earnings and revenue from your service business?
Fusen Chen: So, I think the most effective way to create shareholder value is really stock buyback in my opinion. And at the certain point, when a company is a profit for the next level, we probably will make a special consideration for the dividend, but at this moment you can see that we already use $100 million to buyback and we have a new program $100 million which we already use $18 million in the quarter, right. So, we believe this is a most effective ways to create a shareholder value. But at a certain point, I think we'll have discussion with the board of our dividend.
Albert Sebastian: Thank you.
Jonathan Chou: You are welcome.
Operator: Thank you. I would like to turn the floor back over to Joseph Elgindy for closing comments.
Joseph Elgindy: Thanks, Rob. Before closing, we wanted to inform investors that we will be participating in the Midtown CAP Summit on December 6 in New York City and also the Needham Growth Conference on January 17 and 18. Additional details on past and future events are available at investor.kns.com. Thank you all for the time today. As always, please feel free to follow-up directly with any additional questions. Rob, this concludes our call. Good day.
Operator: Thank you. You may now disconnect your lines at this time. Thank you for your participation.